Operator: Good afternoon and welcome to the Aimco Fourth Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I’d now like to turn the conference over to Lisa Cohn. Please go ahead.
Lisa Cohn: Thank you and good day everyone. During this conference call, the forward-looking statements we make are based on management’s judgment including projections related to 2016 and 2017. These statements are subject to certain risks and uncertainties, a description of which can be found in our SEC filings. Actual results may differ materially from what may be discussed today. Also, we will discuss certain non-GAAP financial measures, such as AFFO and FFO. These are defined and are reconciled to the most comparable GAAP measures in the supplemental information that is part of the full earnings release published on Aimco’s website. Prepared remarks today come from Terry Considine, our Chairman and CEO; Terry Considine, our Executive Vice President in charge of Property Operations; John Bezzant, our Chief Investment Officer; and Paul Beldin, our Chief Financial Officer. A question-and-answer session will follow our prepared remarks. I will now turn the call to Terry Considine. Terry?
Terry Considine: Thank you Lisa, and good morning to all of you and thank you for your interest in Aimco. Our business is good and we hope that yours is too. Before discussing our results, path and projected, I'd like to make sure that you know that yesterday we reported 2015 results, gave 2016 guidance and provided a financial model forecasting a 2017. Paul made the decision to provide that forecast for the next two years to make clear to investors the impact of forward factors. First, same store NOI growth rates. Second, the long expected decline in non-core earnings as we continue the simplification of our business, for example the wind down of our low income housing tax credit activities and the reduction in the number of partnerships. Third, the dilution that comes from selling fully leased properties to acquire the Northern California lease up property that has no current income and fourth the savings in G&A and other offsite costs as we scale our overhead to our more focused business. So for 2016, the headline is that we continue to think long-term accepting short-term pain for long-term gain. The short-term pain is a lower growth rate for AFFO this year, up only 4% compare to being up 12% last year. For 2017, the long-term gain is the reacceleration of the AFFO growth rate to 12% together with higher rent growth going forward, a better portfolio with higher average rents, a stronger balance sheet and improved quality of earnings. We will return to 2016 and 2017 later especially in Paul's remark, but now I would like to direct your attention to a few highlights from last year. Last year in Property Operations across our diversified portfolio rent growth was higher than in 2014 by 50 basis points. In redevelopment strong consumer demand for our redeveloped apartment homes drove the lease up of Ocean House in La Jolla, absorption as above seasonal expectations at Park Town and The Sterling, Philadelphia. Second generation rent increases averaging 13% for occupancy stabilized redevelopment at Lincoln Place specific divestures [ph] and Preserve at Marin. In portfolio management, fourth quarter average revenue per apartment home was up 10% year-over-year reaching $1,840 a record high for Aimco. And on the balance sheet at yearend we had $675 million of cash on hand and credit available on our bank lines and at yearend leverage as given by the ratio of leverage to EBITDA was down year-over-year by 11%. So the bottom line 2015 AFFO per share was up year-over-year by 12%, cash dividends per share were up year-over-year by 13%, and consensuses net asset value per share was up year-over-year by 11%. For these excellent results I thank my teammates and say well done. Now let's look forward, when we look property by property at the Aimco business, we see unbalance continuation of the solid consumer demand of the past few years. In fact through January of this year the rate of year-over-year rent growth has been higher for each of the 12 consecutive months that is January 2016 rent increased at a faster rate than the January 2015. December 2015 rent increased at a faster rate than the December 2014 and so on, so for the past 12 consecutive months our rent growth has accelerated. Now when we look outside our business, we're mindful of the potential for over building in some markets and we cannot help but notice the turbulence in financial markets and uncertainties about economic growth. These conflicting data points make us conservative. You can see that we project 2016 rent growth which is the closet to hand and most visible to us and roughly equal to and in fact a little bit better than the rent growth we've enjoyed for the past few years. You'll also see that in our 2017 forecast, we decided to assume lower rent growth. We are not making the call on the market. As mentioned earlier in our portfolio rents have accelerated for 12 consecutive months and we have no visibility on a deceleration. We assumed lower rent growth for two reasons. First we want you to know that our 2017 forecast is quite achievable even if there were to be a slowdown. And second whether or not there is a slowdown in 2017 we all hope that markets will turn some day and we want you know what we are thinking and doing now to be prepared. First, continue to emphasize our commitment for customer selection and customer satisfaction and we are increasing our investments in our site teams. Second, we're increasing capital spending to put our properties in top condition. Third, we are glad of our limited exposure to development and redevelopment and we're monitoring closely our exposure to lease-up of redevelopment and acquisition properties. Fourth, we appreciate our portfolio diversification across markets and price points and we're conscious about possible acquisitions. And fifth, we're guarding financial liquidity and are building balance sheet capacity to reduce dependence on financial markets and to support opportunistic investments if such can be found. Now I would like to turn the call to Keith Kimmel, Head of Property Operations who will review our fourth quarter results and a first look at the New Year. Keith?
Keith Kimmel: Thanks, Terry. I am pleased to report that we had a solid 2015 in operations with full year revenues up 4.5%, expenses up 2.1 and net operating income up 5.6%. Annually we achieved blended lease freight increases of 4.9% while maintaining an average daily occupancy of 95.9 with turnover at 48.6%. In Q4 of 2015 our residents gave us our ninth consecutive quarter of better than a four-star rating in customer satisfaction. As a result renewal rents increased 5.6% for the quarter, some 70 basis points higher than fourth quarter 2014. We saw particular strength in the Bay Area, Denver and Boston. Renewal rents in these markets increased 7% to 9% compared to the expiring leases. Where those leases expired and were not renewed, our new lease pricing outperformed the results from the fourth quarter of 2014 and for each month of the quarter individually. This resulted in a quarterly increase in new lease rates of 2.1%. A 120 basis points better than prior year. New lease rates were particularly strong in the Bay Area, Atlanta, San Diego and New York City with increases between 6% and 12%. As a result of our team's hard work across the country, we achieved blended lease rate increases of 3.6% for the quarter, 70 basis points better than Q4 2014. Turnover for the quarter was 50.7% and off the customers who decided to move out 23% were for career moves, 20% did not renew due to price and 15% moved out to purchase homes. There are no significant changes in these move-out reasons versus recent quarters or our long-term averages. Our resident quality continues to improve. The average income of those new customers who moved in during the fourth quarter was 128,000, with a median income of 90,000. Year-over-year the median income of our new residents was up 13% compared to the fourth quarter of 2014, due to an increase in household incomes and portfolio quality. Our 12 target markets which represent 90% of same-store net operating income, had top-line revenue growth up 4.6% in Q4. The top performers had revenue increases from more than 7% to nearly 11% for the quarter. This was led by Seattle followed by the Bay Area, New York, Denver and Boston. Our steady performers which had revenue growth of more than 5% to 7% were San Diego, Atlanta and Greater Los Angeles. And finally, with revenue growth of roughly 1% to nearly 3% we round out our target markets with Chicago, Washington DC, Miami and Philadelphia. As we look ahead to early first quarter 2016 results, January blended lease rates were up 4.2%, doubled our start to last year. New leases were up 2.9%, some 270 basis points better than prior year. And renewals were up 5.8%, a 160 basis points better than January 2015. January's average daily occupancy was on plan at 95.8. 30 basis points better than prior year and February and March renewal offers went out with 5% to 7% increases. Our expectations for 2016 revenue growth and our 12 historic markets can be broken into three tiers. At the top of the list with forecasted growth between 6% and 9% we at the Bay Area, Denver, Seattle and Atlanta, the mid-range of markets with forecasted growth of more than 4% of better than 5% are Boston, New York City, San Diego and Greater Los Angeles. In rounding other 12 target markets with growth of nearly 3% to 4% we have Miami, Chicago, Philadelphia and Washington D.C. and with great advantage to our tour teams in the field and here in Denver for your commitment to inter success. I'll further call over to John Bezzant, our Chief Investment Officer. John?
John Bezzant: Thank you, Keith and good day to all of you. During 2015, we sold 11 properties with about 3,900 apartment homes with gross proceeds to Aimco of 386 million. These sales represented roughly 4% of our beginning in the year in real estate assets. We sold eight conventional properties with average revenues per apartment home of a $1043 per month 43% below the average of our retained portfolio and among the properties we sold were the last we held in Phoenix. We also continue to sell down of our affordable portfolios as the sale of three properties. On average the properties sold in 2015 had a free cash flow cap rate of 4.9%, had we held these properties for the next 10 years we would have expected them to generate a free cash flow of internal rate of returns of about 6%. Proceeds from these sales were reinvested in redevelopment and development projects, acquisitions of property upgrades at a weighted average free cash flow internal rate of return about 350 basis points higher than the properties sold to fund them. In particular we invested the 118 million in redevelopment projects during the year enhancing seven communities with a total of more than 2,500 apartment. During 2015 we completed our multiyear redevelopment for Lincoln Place located in Venice, California and Preserve at Marin in Madera County, California. We also completed work at 2,900 on First in Seattle and Ocean House on Prospect located in Ohio County [ph]. We continue to redevelopment of two centers city Philadelphia properties which many of you saw during our Investor Day back in October, [indiscernible] 2015 saw the near completion of the redevelopment of one of the four towers that comprise the community as well as the community center. At the end of June we have leased 84% of the completed apartment homes in this tower with rents above underwriting and we anticipate completing the remaining apartment homes in the First Tower by the end of this month. Based on these successful results and Aimco approved the plan during 2015 to redevelop a second tower at Park Towne Place, with 245 apartment homes. We began de-leasing this tower during the fourth quarter and construction is underway. At the Sterling, we continue to enjoy good product acceptance, end of January we have leashed 97% of the completed apartment homes with rent above underwriting. In the fourth quarter of 2015 we approved a plan to continue to redevelopment of the Sterling with another five floors containing 130 apartment homes. And during 2015, we also invested the total of the 116 million in development about 100 million of this was in our One Canal property in Boston which will be completed in April and which we are preleasing now. We had also invested 60 million in the completion of Vivo, a property we acquired in Cambridge, which it was under construction. We saw our first move-in’s of people in October and the property has 44% lease today at rents above underwriting. In addition to Vivo during 2015, we purchase this two other properties Mezzo, an operating property in Atlanta and Axiom a leased up property in Cambridge. A total purchase price for these three properties was $129 million. Our leasing at Axiom has gone very well with the property currently 89% leased at rents above underwriting and we expect to reach occupancy stabilization on this property during the second quarter. And finally as we discussed on our last call during 2015, we entered into a contract to acquire an under construction apartment community in Northern California for 320 million. We have commenced preleasing at this community and anticipate closing the acquisition upon the completion of construction this summer. The portion of the acquisition price will be funded through a property loan and the balance with proceeds from the sale of two properties. One in Phoenix and one is Alexandria, Virginia. During the fourth quarter noted earlier we closed the sale our Phoenix property and we anticipate closing on the sales of the Alexandria property in the second quarter of this year. With that, I’d like to turn the call over to Paul Beldin, our Chief Financial Officer. Paul?
Paul Beldin: Thanks, John. Today I'd like to spend the few moments on our 2015 results after which I'll provide some details around our 2016 outlook and 2017 forecast that we published yesterday with our earnings release. First 2015. 2015 AFFO of $1.88 per share was 12% higher in 2014 and $0.03 per share ahead of our beginning of your guidance. 2015 same-store revenue growth of 4.5% was 40 basis points ahead of our beginning year guidance, while expense growth of 2.1% was 70 basis points lower than guided. Combined these results produce year-over-year net operating income growth of 5.6%, which was 90 basis points above our beginning of year guidance. As for the balance sheet at 6.8 times year in leverage was down 11% year-over-year. This reduction was accomplished in parts by using proceeds on our January equity offering to reduce that balance. Specifically we raised 367 million by selling stock at $38.90 per share and use the proceeds to reduce property debt and to repay our outstanding loan balance. Today our unencumbered pool contains properties with a combine value of approximately 1.8 billion nearly double that of year-end 2014. Last week our Board of Directors, approved an increase in our quarterly dividend from $0.30 to $0.33 per share. On an annualized basis, this represents an increase of 12% compared to the dividends paid during 2015. In short 2015 was a good year for Aimco with double digit AFFO growth, solid same store results, lower leverage and increase dividends. Looking ahead, we feel good about our prospects. Our 2016 outlook and 2017 forecast provides more visibility into the four key factors, Terry mentioned that are expected to impact to Aimco’s projected earnings they are same store growth, property sales and reinvestment activities, non-core earnings and offsite cost. I would like to take a minute to walk through each of this. First, same store NOI growth. In 2016 we anticipate same store revenue growth between 4.5% and 5%, an acceleration of 25 basis points at the mid-point over 2015. We anticipate expenses to increase 2.5% to 3% up from 2.1% in 2015. This rate of expense growth is attributable to an increased investment in our on-site teams in 2016 which we expect will result in improved productivity and lower cost in the future. These increases in both revenues and expenses driver our expectations of 2016 NOI growth between 5.25% to 6.25%. We also provided a financial model for 2017, in that model you will see revenue deceleration of 50 basis points from 2016 based on 60 basis point deceleration in new leases and a 90 basis point deceleration in renewal leases. We have no evidence to the fact there is such deceleration net across our portfolio, far from it. As Terry said we picked a conservative number to show that our 2017 forecast is achievable. Even if market weakens and to show that we are looking ahead to that inevitability of slower growth. At the topline we show revenue growth in 2017 of 3.75% to 4.75%, this growth rate is based on the earn in the 2016 leasing activity, the renewal rates of 4.5% and new lease rates of 3.9% as estimated by third part data providers. We assume operating expenses increased 2.5% to 3% which is based on market level and pricing adjustments which are also projected by third parties, these assumptions 2017 NOI growth up 4% to 5.5%. So if these assumptions prove to, we will see continued strength in same store NOI growth albeit at a slower pace than in 2017, than in '16. The second key factor impacting Aimco’s AFFO growth is the effect of the sale of stabilized properties to invest in non-stabilized properties. The most impactful of which are One Canal, our development property in Boston, Vigo, property acquired under construction in June of last year and our Bay Area acquisition expected to close this summer. For 2016 we expect that NOI contribution from these three properties to be less than $0.01 per share, this normal contribution is more than offset by $0.05 to $0.07 of dilution from property sold to fund these investments. For 2017, we expect Vigo to achieve NOI stabilization by the end of the year and for One Canal and our Bay Area acquisition to reach stabilized occupancy of 95% by third quarter. Together we project these lease up communities will contribute $0.12 per share to 2017 NOI. As One Canal and our Bay Area acquisition achieve NOI stabilization in 2018 we would expect an even greater contribution to 2018’s result. In short we are expecting short term pain in the form of 2016 AFFO dilution, but a long term gain provided by higher quality communities with growth prospects superior than the properties sold to fund their development or acquisition. The third factor of our team Aimco's, AFFO growth is a long expected financial impact of the simplification of Aimco's business model. In 2016 the contribution to bottom line from non-core earnings is expected to decline by $0.08 to $0.12 per share compared to 2015. As a result of our gradual exit from the affordable and asset management lines of business and the reduced income tax benefits related to historic tax credits and are taxable REIT subsidiary. In 2017 we project a further decline in non-core earning of an additional $0.09 to $0.10. The fourth factor affecting Aimco's AFFO growth is the positive impact of reduced offsite costs that comes with our simpler business model. As the complexity and scale of our business gains and we gain efficiency we expect these costs which include property management, investment management and G&A to decline by $0.02 in 2016 and an additional $0.01 to $0.03 in 2017. While we expect some variability in other components of AFFO, these four items are the primary drivers of our expectations for the change in 2016 and 2017. In 2016, we expect AFFO will be in the range of $1.91 to $2.01 per share at a growth rate of 4% compare to 2015 notwithstanding the $0.05 to $0.07 per share dilution related to the property sold to fund the purchase of these sub-properties. In 2017 based on a stated assumption, we calculate AFFO would increase 12% at the midpoint to $2.12, to $2.26 per share. Assuming these rates of earnings growth, we see year-end 2017 leverage of approximately 6.3x, a reduction of 7% compared year-end 2015. So to summarize, we see over the next two years better operating results and improved portfolio, simpler business with lower non-core earnings safer leverage, reduced offsite costs and increased AFFO per share, all of these accomplished without the need to access equity capital markets. With that, I'll turn it over to the operator for questions. If you could please limit your questions to two per time in the queue, operator?
Operator: Thank you. [Operator Instructions] And our first question will come from Nick Joseph of Citigroup.
Nick Joseph: Terry, the portfolio on business changed a lot over the past few years, this year is a continuation of that strategy. So how do you think about a balanced portfolio and business transformation between the impact to NAV and the impact of cash flow growth?
Terry Considine: Nick, the key word there is balance and it's a little bit like riding a bicycle, you can't lean too far one way or the other. Over the years, our primary metric for the business has been net asset value plus cash dividends which a balance and it increases in that or what we call economic income. And so we focus on that first and you can see for example in 2016 net asset value will be much more predictable than the current income that we just discussed which is more volatile. But net asset value is closing to that overtime, is closely connected to cash flow. So again it's a question of balance.
Nick Joseph: Thanks then you able to confirm that the Northern California acquisition is the indigo in Redwood City?
Terry Considine: I am, thank you.
Nick Joseph: [Multiple speakers], can you remind us of the underwriting in terms of where you expect to be rents to be this summer and where rents are in the submarket today?
Terry Considine: Sure, John, do you want to take that.
John Bezzant: Sure, so Nick, I'll tell you that today we're in the middle of what I would call a soft opening preleasing scenario where we have started our preparations for preleasing. We will go live with that with staff in a marketing office at the end of this month and we will go full bore on a marketing program beginning in March. The rents that we have tracked for that marketing program as of today are some of our underwriting from where we thought that would be in June. And so that is based on comps and what the comps in the markets and submarkets, there have been through the last six months or so since we originally underwrote and tied the property up. And we feel pretty good about where are in the rent profile today.
Terry Considine: Nick, if I could just add to John's comments because of course we are focused on the lease of that property and we want to provide the most immediate and relevant information we can provide to the market as to whether our expectations are conservative or optimistic. It happens that we own four properties within -- the bulk of them within 2 miles to 5 miles of this property. In the fourth quarter, those four properties had rent growth of 10.3%. In January those four properties had rent growth of 4.8%. So what John has said is exactly right, rents today are higher than we underwrote and they're increasing faster than we might have expected.
Nick Joseph: Thanks, can you quantify how far ahead in terms of maybe a percentage they are today versus where you underwrote for June?
Terry Considine: No probably no. I don't want to go through all the details of the underwriting on a call like this, if you have a question come back offline and John can walk you through it. But there is 170 model types and it's just too complicated for this format. The next picture is rents are faster -- higher than we thought and are growing faster than we thought.
Operator: And the next question comes from Jana Galan of Bank of America Merrill Lynch.
Jana Galan: Can you tell us, wondering if you could comment on the performance of A's versus B's in terms of the new leases and renewals?
Terry Considine: We monitor A's versus B's every quarter and what we really think is the best way to think about it is using new lease pricing as the best barometer and as we've looked at this past quarter our B's were outperforming our A's by about 70 basis points. And that's across most of our portfolio.
Jana Galan: And if you could just comment on the supplier outlook for the 12 core markets in '16 and then also what you're kind of forecasting for 2017 versus what you've experienced in 2016? And does any of these markets seem more susceptible to softness if job growth disappoints?
Terry Considine: Jana that's a tall order again for a call of this nature, the answer to that is very specific and detailed and not especially market driven, but more site specific. And so just at the top of my head to think about it and walk down the seaboard with you, so to be responsive. In Boston there is considerable supply coming into the CBD and Cambridge and it's being absorbed at or above our expectations. In New York we have limited exposure to new supply. We're at a different price point. In Washington -- Philadelphia, excuse me, we have -- competitive new supply but our experience at Sterling and Park Towne is that we’re being -- our product is being accepted at price points above our expectation in underwriting. In Washington DC we're -- our revenues are growing. There is continuing new supply but again it’s at price points above our portfolio there. In Atlanta there's competitive new supply, our rents there have been growing. In Miami we have a certain amount of disappoint, but it's not so much the overall levels of new supply to a specific location of them. And two of our major towers have constructions literally contiguously or across the street 24/7 that make it a noisy place to live. And so you'll see that in our Miami results, in Chicago in the suburban markets where that portfolio is certain amount of new construction but not impactful today. In Denver there's a significant amount of new construction, I think the Denver -- and this illustrates the point that it’s got to be location specific and not market specific. It would be my opinion that the Denver market will soften, and perhaps it'll be difficult, but it's a market we’ve avoided and so our properties that are grouped under Denver are in fact either on what we think of as an island at the Anschutz Medical Campus at University of Colorado Health Science Center or in Boulder where there is no growth ordinances that provides some protection against oversupply. So, more probably Denver’s likely to be soft but not our assets as much. Moving west, in Seattle we have a single asset in downtown Seattle and one in Renton. So, we can't be affected too much at all. In the Bay Area which is a course of -- a matter of concern to all REIT investors, as I've mentioned earlier the specific properties that we own and where we own them actually had a wonderful fourth quarter and wonderful January and so we do not now see supply in our markets, which remember we're not in the city of San Francisco, but we do not now see new supply impacting rent growth. Los Angeles again there new supply continues but it's more moderate than other markets and rent growth for our portfolio which is primarily West LA continues and I would say the same would be true in San Diego. Now that's just top of mind. John, would you agree with that or floor that in a different way?
John Bezzant: I guess so.
Terry Considine: So, that's kind of we can -- maybe we can try to give you more detailed information if you have interest to follow-up on that, Jana but that's top of mind.
Jana Galan: And I guess this maybe a big picture, do you feel that your portfolio is going to experience peak supply in '16 or did that already happened in '15?
Terry Considine: Jana, I think it again depends on individual markets but if we were to take a picture I think the competitive pressure from new supply will increase for each of the next couple of years and so we -- as you know we made a great emphasis on being diversified in balance and it's my view that free marketing in time will be over build and so it's just it's also my experience that they’re not synchronous and so by the time that the Bay Area is over built and rents do begin to ease, our hope will be, that will be offset by rent growth in Los Angeles or in Washington D.C. which are large and important markets for us.
Operator: The next question comes from Gordon Saddler of Keybanc Capital Markets.
Austin Wurschmidt: It's Austin Wurschmidt here with Gordon. In your guidance you guys are assuming -- so knowing NOI contribution from your development communities and I guess speaking to the Indigo acquisition specifically, what occupancy level really gets you to breakeven on an NOI and cash flow basis with that deal?
Paul Beldin: Hi, Gordon. This is Paul. As we look at the lease up of not only Indigo but all of the properties including Vivo and One Canal we are breakeven from a cash flow perspective at the NOI line in 2016 that excludes the impact of interest expense and so to cover that interest costs on that we’d probably need an incremental cash flow of say about 5 million or so, so it's not a big impact but we expect that will recover in be accomplish in 2017 with the $0.12 of NOI growth that will expect to earn at that point.
Austin Wurschmidt: Thanks for the detail there. And then just looking at the $0.15 dilution that you attribute to assets sales, how much of that is coming from sales from 2015 versus what you expect to sell this year and then are the assets sales that you’ve assumed in your guidance is that a gross amount or does that reflect your share?
Paul Beldin: Well the asset sales are reflected in the guidance are a gross amount which in 2015 happen to reflect the Aimco share what we expect to sell would be largely a 100% own properties. As far as the timing of this sales we expect to a large chunk about 300 million of that will happen in the second quarter and that's related to 2Q assets and the remainder of our guidance range would be towards the end of the year into the fourth quarter that sort of time frame.
Austin Wurschmidt: Okay, thanks for the time.
Operator: Our next question comes from Robert Stevenson of Janney.
Robert Stevenson: Can you talk a little bit about the, whether or not you see any sort of real material bifurcation and operating fundamentals across the various D.C, submarkets versus Maryland, Northern Virginia, the district itself, et cetera?
Keith Kimmel: Rob. This is Keith. I will walk through it. When we look D.C. over the past several quarters I've reported out that Maryland for us had been an outperformer against our suburban Virginia, but more particularly Alexandria markets and what would tell you is in this past quarter we saw a bit of the shift there and we saw that our suburban Virginia portfolio had outperformed Maryland and I think as you saw the walk through the year we continuously were increasing our revenue growth and in the fourth quarter 2.5% was our top performing quarter and we’re seeing we’re balanced I guess is more the bigger point here and the overall look is that we think 2016 will be better than 2015.
Robert Stevenson: Okay. And then in terms of that, how much occupancy gain is occupancy gain driving and I guess fourth quarter our average fourth quarter was like 95.5 in that market, is the lot of it just predicated on getting up the 100 basis points of occupancy in that market or are you really seeing attraction in rental rate and pushing rental rate as well?
Keith Kimmel: It's a little more on occupancy then I would say there in rental rate, but we are seeing strength in the rental rate. When we look back to the beginning of 2015 in this example there were still full 113 [ph] type of our negative 8% and that has really tapered off dramatically and so it's not nearly that type of discounting on the front door and the renewals continue to stay quite strong. To give an example we've been -- we averaged better than the 4% renewal in the market and that really was a turnover of only 44% and our decent portfolio really is what we think is a big driver there.
Robert Stevenson: Okay and then just lastly in terms of Indigo is there any material amount of retail there and then are you guys expecting that to stabilize occupancy wise by the end of 2016?
John Bezzant: There is no commercial, there is within the building a commercial condominium that will be occupied by a local credit union that actually owned a portion of the site prior to its construction. But we will not have an interest in that commercial space, so we’re 100% residential on the building. And in terms of lease up, no we do not anticipate occupancy stabilize by the end of 2016. We would deem occupancy stabilization to be 95%, we think that's going to come probably third quarter of 2017 is what we’ve got in our plan.
Robert Stevenson: Okay. So some of the $0.05 to $0.07 of drag earnings wise this year can be seen in the first half of next year as well until you get the occupancy full right.
John Bezzant: It will certainly be a fairly significantly acceleration to our results as we go throughout 2017.
Robert Stevenson: Okay, thank you.
Paul Beldin: And that continues to 2018, as you have the earn-in of full occupancy that we wouldn’t have had in the first part of '17.
Operator: And next we have question from Dan Oppenheim of Zelman & Associates.
Dan Oppenheim: Was wondering if can first comment on some of the trends of February and March renewals? I think you talked about those going out at 5% to 7% increases. Typically I think in the past you have talked about those coming back and getting finalized at 1% or so below that. Is that where you're expecting this case?
A - : Dan this is Keith. We are seeing more, it's typically within 100 basis points that we have talked about but we have seen it's been ranging between 50 and 100, so little less from what we send out as the ask in the ultimate take rate.
Dan Oppenheim: Got it. And so, but relative to January's 5.8% on renewals, some risk that we end up seeing some deceleration in terms of year-over-year growth in those February numbers then?
Terry Considine: I don’t know, I mean mostly it gives unit by unit and property by property, Dan when we think about it. What I would say is this it could be just likely to be on par, but like I have said when the take rate is somewhere between 50 and 100 basis points, it's hard to say if it's could be 55 or 60 but it will be in that range.
Dan Oppenheim: Okay.
Keith Kimmel: Dan, its Keith, if you forgive me for jumping in. I think everyone at Aimco and I know I read your stuff carefully because I think you are very thoughtful about the market. And your exactly right trees don’t grow to the sky and that supply will result in moderating price growth. I think that is surely right. What we can add where we have specific knowledge is that within our portfolio of today we don’t see evidence of it happening now, it may will happen -- it will happen in the future, but we just don’t see it happening now.
Dan Oppenheim: Okay thank you.
Operator: And the next question comes from Aaron Hecht of JMP Securities.
Aaron Hecht: So within your 2016 same store revenue guidance, how much benefit is there embedded from re-development properties?
Paul Beldin: This is Paul. Just for the benefit of the entire listening group. As we talked about in the third quarter we are adding total six properties to our same store pool for 2016 and those are Pacific Bay Vistas, 2,900 on first, 2,900 on first, 21 Fitzsimons, Tremont, Saybrook Pointe, and Eastpointe. And so the impact of those three -- of those six properties in totaled is roughly a 20 basis points impact of revenues for 2016.
Aaron Hecht: Okay so you be pretty close with the 2015 results exclusive of those redevelopment properties.
Paul Beldin: Yes.
Aaron Hecht: Okay, and then in terms of the rolling off of the tax credits over the next couple of years, does that give you guys the ability to accelerate dispositions on affordable product and how should we kind of think about that?
A - : Erin, this is Terry. You are exactly right, once tax credit are delivered and compliance period ends, then the properties are more marketable. We’ve long said that we expect to liquidate those properties as those conditions are meet. And so we would expect to see that roll off.
Aaron Hecht: And is that disposition activity timed with the rolling off of the tax credits embedded in the forward two-year guidance?
Paul Beldin: Within the forward two year guidance, there is not the expectation or ability in that two year window to sell a meaningful portion of the tax credit properties, although we will continue to work with our investors to see if we can't straight a deal that would be beneficial to both us and them. John would you like to add anything?
John Kim: There is a time like between the delivery of the credit and a five year compliance period and so it's after the delivery of the credit. But during the compliance period when this properties will be sold and some of them will be sold in that first year and some won’t be sold in end of this year.
Operator: And the next question comes from Drew Babin of Robert W. Baird.
Drew Babin : In the spirit of short-term pain for long-term gain, are asset sales to de-lever something that you thought about? I just know in the guidance, it has leverage going down at a slower rate than it has over the last year or two. Just curious whether there may be any kind of larger moves potentially in there?
Paul Beldin: Hey Drew this is Paul. I’ll start with that and then hand it over to Terry for his thoughts. If you look at our deleveraging that has been accomplished over the past few years, certainly a portion that was accomplished to property sales. But really what moved the dial significantly was the equity offering that we completed last January. And so as we put together our thoughts for the next few years, our focus was on keeping the total quantum of leverage about constant and that when you combine it was expected EBITDA growth provides the opportunities for a meaningful reduction and leverage ratios approaching the low sixes. And so at that point as I think about it and as we have discussed as the management team here that feels right for Aimco and the Company, but we will of course continue to monitor what is appropriate given the economic environment. Terry?
Terry Considine: Well, Paul, I think you said it exactly right. For the moment we set our target to be between 6 and 7 times leverage or times EBITDA and at this time in the cycle would like to be closer to 6. We get there in these next couple of years and as always with Aimco you have to adjust that we have the safest balance sheet because we have the longest duration, we have the least exposure to refunding risk, the least exposure to re-pricing risk, the least exposure to entity risk and we don’t have a business model that’s as exposed to construction completion. So the balance sheet we think is in good shape today and continues to get better over the next couple of years.
Drew Babin : And just a second question on your outlook for ’16 and your guidance for ’16 and your confidence in putting out a ’17 outlook. Can you point to specific factors that give you the confidence necessary to go out two years with your assumptions? And I guess more specifically in the Boston market, do you expect any pick-up from GE moving their headquarters there? Is that something material that could benefit that market?
John Bezzant: Maybe I'll speak to how we put together the model and then look to, to Keith or Terry to discuss the impact on the moving of the GE's headquarter to Boston. As we look to the model, the 2016 guidance was based upon the process that we have followed for a number of years and that is bottoms up property by property examination of those prospects all up, and that's how we set our guidance. For 2017 because that is a period that is beyond the time horizon which we have great visibility, we wanted to provide a model and so in that model we are using third party's expectations for what will happen in our particular submarkets for new lease rents. We also have assumed what we feel is a conservative assumption regarding renewal rates where we are assuming in the 17 model a 4.5% renewal rate which is 90 basis points below what we have experienced recently. And so we think the combination of those two factors allow us to provide a broad range of potential outcomes for the investors to see what might happen under that set of particular sector set of facts and of course we will continue to operate the properties to the best for our performance and we'll see what we can do to beat that. And then I guess as far as our thoughts on Boston, Terry?
Terry Considine: John, as you said in terms of Boston, we kind of tuned into because of the recent activity we've had there and the coming delivery of One Canal. My understanding is that GE, the corporate headquarters move involves really only about 600 employees, so it's not going to be a dial mover for demand in downtown Boston that certainly is a big charge for the locals in terms of landing a major corporate headquarters and continued trends of definition of Boston as a major financial center. And so we got certainly good news but we don't think it's going to move the dial on demand in Boston.
Operator: And our next question will come from John Polosky of Green Street Advisors.
John Polosky: One follow-up to Drew's question there. What specifically would you need to see in the macro environment to change that two-year plan of gradual deleveraging versus ramping dispositions to de-lever more meaningfully?
Terry Considine: John, thank you for the question, we'll have to see some consequential change better or worse to change our plan. Based on what we know today, we think that bringing our balance sheet leverage down further and faster isn't indicating. We appreciate your competence score of our leverage and we think that we're in the right place right now, if the world is a little different, we'll react.
John Polosky: Okay, last question. Should we interpret guidance for no new acquisitions in ’16 and ’17 as a hard commitment or a soft commitment, based on just the opportunity set you see today?
Terry Considine: John, I am really glad you asked that question because I think it's important to clarify that in the last five year we have sold more 200 properties, for more than $2.5 billion about one-quarter of our enterprise value and more than all or almost all of our peers proportionately. During that same time, we've acquired only 15 properties for about $600 million over five year. Our appetite for acquisitions is under control and its disciplined application is clear in the portfolio of transformation where rents have more than doubled over the past 7 or 8 years. When we look forward, we will continue apply that same paired trade discipline and only make an acquisition where it's clearly accretive into the advantage of our shareholders.
Operator: And the next question comes from John Kim of BMO.
John Kim: With 10% rental growth you're seeing in Redwood City, can you provide an update on your stabilized yield and IRR projections for Indigo? Is it as easy as adding 50 basis points to the yield, or is there --?
Paul Beldin: It's just premature, it's premature John with -- John we'd like to be able to tell you specific commitment but I think we'd like to get down the road a little bit on leasing and see what we're at. And that maybe a more perfect question towards the end of this year once we've got some real leasing activity under our belt.
Terry Considine: What I would add to that is, as John told in the last call, our rent growth assumption after the lease-up or during lease-up is 3.6%. In our guidance and forecast we've assumed zero rent increase. And as we've pointed out what we're experiencing nearby remains strong.
John Kim: I think you flagged the time it's taken to stabilize, but is there something you could have done differently to neutralize the earnings dilution as far as structuring the deal, or maybe delaying the timing of disposition?
Terry Considine: Not especially. And this really goes back to a question that we had I think from Nick early on, which was, how do you balance your thinking about accounting and reported earnings versus net asset value creation and so forth? And we're highly focused on net asset value creation. We are mindful of current period earnings. We know we’re going to have to explain short-term dilution. But we're not attracted to financial structures or accounting gimmicks mask or confuse the basic business we’re in.
John Kim: Okay and then on your same-store growth in ’17, it's noticeably lower than UDR, which is the only other company that's provided it. I realize, I think you're using market estimates, but you know your assets better than they do. Are you -- do you think your projections actually are reflective of what you're going to achieve?
Terry Considine: What I would say John is first of all I want to talk about UDR. Because they're a terrific company and out here in the world of Broncos fans we all stick together. So, I don't want to in any way have a different view than what Tom and his very able team are doing. For Aimco we expressly did not make a forecast of what we think our results are going to be in 2017. And it's because as I said earlier we’re seeing conflicting data. When we look inside our own portfolio, we see acceleration not deceleration. When we read thoughtful analysts like Dan and we read our opinions of the responsive world markets and financial markets we see noise and concern and so what we did in 2017 forecast, as Paul said and I just want everyone to get it clearly. We've created a financial model it is not our forecast, it is not our making a call on rents, it's just as, if these things were to happen which is to say if the third-party data providers were correct that new lease rents were to drop by 60 bps and if our renewal rents were to drop by as much as 90 bps as Keith mentioned earlier right now that's going the other way, but as those things were to happen then this would be the impact in 2017.
John Kim: But isn't that like the tail wagging the dog? You know your assets from the ground up better. There are certain assets stabilizing in ’17, or before then. The recent acts, you're either taking probably a ground up but also macro approach. I would think that we would want to use your estimates, or at least get your insight as where you think growth would actually be.
Terry Considine: Our insight is -- let me be clear, our insight is that right now everything we see is getting better and is accelerating. And so that, we also know that can't go on forever and we also know it's very hard to predict the future. And so when we look at 2017 what we want to do is give a model rather than a detailed opinion from the company.
Operator: And the next question comes from Nick Yulico of UBS.
Nick Yulico: I just had a question on your redevelopment development forecast, we're talking about $200 million to $300 million a year spending, basically I think you said going all the way out to 2018 in your two-year plan with new starts. I'm wondering how committed you are to that, because each time you start these redevelopments they are multi-years out, and you're selling assets at essentially the same cap rate where you're saying you're going to get your development yield, and yet you're getting the NOI from the redevelopment two years later. It just feels like a very dilutive process. I'm wondering how committed you are and how we should think about modeling this over the next three, four years, because I think it's one of the reasons why your 2017 forecast for FFO missed the Street.
Terry Considine: Nick, again this goes back to a very thoughtful question which was asked, the very first question by a thoughtful analyst which is you which is what is the balance between the current period profitability and net asset value creation? We do try and strike a balance, what we see in the redevelopment activities is there's typically a year or two before the current period profitability of the redeveloped assets catches up to that of the property being solid. I've forgotten right here, but I believe that in to the at 2015 property sales the free cash flow yield was just under 5% something like that 4 [ph] and change and that when we look forward that might take -- it definitely depends on the redevelopment what the cycle time is. So at Park Towne you can see the cycle time is probably six to nine months at another Ocean House it was over a year and so we try to do them in smaller bites where the cycle time as faster and trying to stay focused on long-term value creation and accept the terms
Nick Yulico: Okay, so it sounds like you are still pretty committed to this plan of doing that level of redevelopment through 2018, as far as spending goes?
Terry Considine: Absolutely.
Nick Yulico: Okay, alright thanks Terry, sir.
Operator: Next we have a question from Anthony Pallone of JPMorgan.
Anthony Pallone : If I looked at your DC, Chicago, Miami, Philly revenue trends in the same store in the fourth quarter, it's about just under 40% of your revenue. What needs to happen there in 2016 to get to your 4.5% to 5% total same-store guidance?
Paul Beldin: Anthony. This is Paul. Early in the call Keith walks through kind of the expected ranges for each of our 10 markets and so, Keith do you mind hitting those expected growth rates for next year?
Keith Kimmel: Absolutely, I can walk you through that Anthony. In that grouping that is if the Chicago, Philly just remind me the other one you asked about?
Anthony Pallone : D.C. and Miami. I think that four of those were about 10% in the fourth quarter.
Keith Kimmel: Yes. So the expectation is that they will range between 3% and 4% to make that happen.
Anthony Pallone: Okay. Thanks. And then just my other question, you have been in the market selling assets pretty consistently. Can you talk to any changes in either the bid lists or the composition, or how easy or tough it's been to sell assets now compared to say, a year ago?
John Bezzant: Yes, Anthony. John Bezzant here. I would say the executing -- getting them sold and the pricing is really not a whole lot of different then it was a year ago. I think as we got into fourth quarter last year it got a little quieter. Whether that was that people fill their orders for the year whether just seasonal flow or whatever was that so maybe the bid list weren’t quite as thick they were in June, but that's a pretty typical for the end of the year that slows down and every deal other we try to transact we transact it and transacted pricing we expected and that have gotten from the market is that's pretty similar across the board.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Terry Considine for any closing remarks.
Terry Considine: Well, thank you operator, and thanks all of you on this call. We appreciate your interest in Aimco. If you have any questions of any kind, please feel free to call Elizabeth Coalson, Paul Beldin or me, and we’ll do our best to answer them. Thank you so much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.